Operator: Good morning, ladies and gentlemen, and welcome to the U-Haul Holding Company's Fourth Quarter Fiscal Year End 2025 Investor Conference Call. At this time, all lines are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Thursday, May 29th, 2025. I would now like to turn the conference over to Sebastien Reyes. Please go ahead.
Sebastien Reyes: Good morning, and thank you for joining us today. Welcome to the U-Haul Holding Company fourth quarter fiscal year end 2025 investor call. Before we begin, I'd like to remind everyone that certain of the statements during this call, including without limitation, statements regarding revenue, expenses, income and general growth of our business may constitute forward-looking statements within the meaning of the Safe Harbor provisions of Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Exchange Act of 1934 as amended. Forward-looking statements are inherently subject to risks and uncertainties, some of which cannot be predicted or quantified. Certain factors could cause actual results to differ materially from those projected. For a discussion of the risks and uncertainties that may affect the company's business and future operating results, please refer to the company's public SEC filings and Form 10-K for the year ended, March 31, 2025, which is on file with the US Securities and Exchange Commission. I'll now turn the call over to Joe Shoen, Chairman of U-Haul Holding Company.
Joe Shoen: Hello, everybody. What you see especially in our fourth quarter results are decisions made in prior years working their way through the financial statements. On a more positive note, the original equipment manufacturers appear to have decided to make reliable fuel efficient ICE vehicles in volume at improved pricing. OEMs and U-Haul both need to get some emissions regulation relief from the administration to be able to better serve our customers with truck product. U-Haul, in the meantime, has deflated three quarters of our pickup fleet as we see no path to profitability with more than a small specialized pickup fleet. Resale prices on both vans and pickups are steady or improving. I expect we may struggle through October on resale pricing, but beyond then, it appears to be a clear path. Our customers are expressing optimism, at least our truck share customers are. Storage remains a bright spot wherever we execute with precision. Our programs work. It's a less bright spot where we execute with less precision. Both self-move and self-store are consumer needs and I expect those needs to continue. It is my challenge to make U-Haul the customer's best choice. With that, I'll turn it to Jason to kind of get specific on the numbers.
Jason Berg: Thanks, Joe. So yesterday we reported a fourth quarter loss of $82.3 million compared to a loss of $863,000 for the same quarter last year. Our full year fiscal 2025 earnings were $367.1 million, down from $628.7 million in fiscal 2024. In terms of earnings per share, the fourth quarter of this year was a $0.41 per share loss per non-voting share loss as compared to less than $0.01 a share loss in the fourth quarter of fiscal 2024. Earnings before interest, taxes and depreciation EBITDA at our Moving and Storage segment increased by $5.6 million for the quarter to $217.3 million largely from revenue growth. Our full year fiscal 2025 EBITDA increased by just under $52 million to $1,619.7 million. Included in our earnings release and financial supplement is a reconciliation of EBITDA to GAAP earnings. I'm going to highlight three large differences between the two. First, fleet depreciation from the increased level of fleet acquisitions and the cost per truck over the last several years. Second, the reduced gains on the sales of retired pickups and cargo vans. And third, the declining interest income at the Moving and Storage segment as we reduced our short-term cash balances due to reinvestment. Of the $0.41 decline in earnings per share for the fourth quarter, about $0.16 was from fleet depreciation, $0.12 from the decrease in gains on sale of rental equipment and $0.10 from the decline in interest income. For the fourth quarter, our equipment rental revenue results had $29 million increase or just over 4%. Of note, during the prior year, we benefited from the extra day attributable to the leap year. I mentioned that because it added somewhere around $11 million to last year's results. For the fiscal year, we finished up just over $100 million for equipment rental revenue, that's about a 2.8% increase. During the fourth quarter, both our one-way and in-town transactions increased compared to last year at that time, as did our revenue per transaction. Our trailer and towing fleets also experienced improved revenue results. For the month of April and now into May, we've seen revenue continue to trend positively compared to the same periods last year. Capital expenditures for new rental equipment for fiscal 2025 were $1,863 million that's a $244 million increase compared to fiscal 2024. While proceeds from the sales of retired rental equipment declined by $76 million to a total of $652 million. This is a combination of fewer pickups and cargo vans sold, along with slightly lower average sales proceeds on the units that we did sell. Our initial projection for net fleet CapEx in fiscal year 2026 is $1,295 million, that's compared to approximately $1,211 million in fiscal 2025. Switching to self-storage, revenues were up $18 million or 8% for the quarter. Our 12-month results were also up 8% or just under $67 million. Average revenue per occupied foot continued to improve across the entire portfolio, up approximately 1.6%. And if you look at just the same-store piece of that, we were up 3%. Our average move-in rates for the same-store portfolio were up just over 4.5% compared to the fourth quarter of last year. Our occupied unit count at the end of March was up just over 39,000 units compared to the same time last year. This time last year when we were talking that same statistic was a 31,000 unit improvement, so we picked up the pace a bit compared to where we were at last year. During fiscal year 2025, we added 82 new storage locations, 6.5 million new net rentable square feet across 71,000 new rooms. Our average occupancy ratio across all of our own locations during the fourth quarter declined about 2.5% to just over 77%. If you look at just the same-store portfolio, average occupancy experienced about a 50 basis point decrease to 91.9%. During fiscal 2025, we invested $1,507 million in real estate acquisitions along with self-storage and U-Box warehouse development. That's a $249 million increase over the previous year. During just the fourth quarter, we added 1.6 million new net rentable square feet. About 1.5 million of that was newly developed locations along with expansion at existing facilities. We currently have just under 7 million new net rentable square feet being actively developed and another 8 million square feet in the pipeline behind that. Our U-Box revenue results are included in other revenue in our 10-K filing. This line item within the Moving and Storage segment was up just under $14 million, of which U-Box was primary contributor. We are seeing both U-Box moving transactions and the related storage transactions grow. Over the last 12 months, we've increased our coverage storage capacity, or warehouse space for these containers by nearly 25% and we're going to continue to see growth in that area. Operating expenses at Moving and Storage were up $53.6 million. Starting off on a positive note, we had another quarter of declining fleet repair and maintenance costs, this time down $6.7 million. Some of the larger expense increases that we had, personnel costs were up $12.8 million although that was largely in line with our revenue increase. Other costs, including utilities, property taxes and shipping costs associated with our U-Box moves were up a little over $11 million. The largest outlier for the quarter was our liability costs associated with the fleet were up $27.8 million. As of end of March, our Moving and Storage segment had cash and availability totaling $1,348 million. On our Investor Relations website investors.uhaul.com, we posted some supplemental materials in addition to the earnings release and 10-K filing that are right on the front page for you to click on. With that, I would like to hand the call back to our operator, Constantine, to begin the question-and-answer portion of the call.
Operator: Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from the line of Steven Ralston from Zacks. Please go ahead.
Steven Ralston: Good morning.
Joe Shoen: Good morning.
Steven Ralston: Looking through the numbers, I noticed and obviously you're in a seasonal business that the fourth quarter was basically the strongest in the last six years exiting out 2021, which was an exceptionally strong year. And I'm interpreting this as the business itself, the topline business is getting stronger. First of all, I'd like to see if that -- you can interpret that as I do. And secondly, I know, Joe, he talked -- I asked him last year at the beginning of the fiscal year, what his outlook was given his decades of experience was for the coming year and basically he said modest growth and I don't know if you gave the exact numbers, but I interpreted like 2% to 3% topline growth. With all his decades of experience, what's his current outlook for the topline, exiting out the depreciation and the other things that are going on?
Joe Shoen: Yes, this is Joe, Steve. I think it's picking up. We're seeing signs that customers are positive. And of course there's all these forces that you can read the paper and go crazy. But at the base store level, I think we're seeing a little bit of consumer optimism and willingness to start on some sort of a moving adventure. Every time someone moves, it's an adventure to put it politely. So if they're kind of optimistic, they're doing a little more business and I see them doing a little more business with this. They're accepting a little bit of rate increase. And when we execute with what I call with precision, they're good with all this. It's not that people don't have the ability to spend money or something like that. They just want to see good value for the money or maybe even great value for the money, which we should be in the position of providing. We're kind of at the great value into the spectrum. And so I'm pushing that real hard with my troops. And I think we're seeing a positive response from the customer.
Steven Ralston: Thank you. Now moving over to depreciation and you spent a lot of time on that in this call and also in the press release. I consider depreciation just and -- partly the nature of the business that you're in. I mean you're in a constant investment stage of capital for replacing your vehicles and increasing capacity and depreciation is just a byproduct of that and you use it well to use that to offset, as an expense, a non-cash expense. And at some point there'll be -- you'll be able to benefit from that when there's an increased demand. And that's just the nature of your business in the self-storage industry and also self-moving obviously. It's -- but you're rather downbeat on it. I mean this is just part of your business. Could you just comment on that ? I mean maybe some investors don't understand that.
Joe Shoen: I'm with you. Depreciation on self-storage is money in the bank. That if you want to scratch me deep, that would be my response there. It's money in the bank. Relax. Equipment is different. Equipment really is a depreciating asset. And through this time, we had a number of things that happened. The cost of acquiring equipment exceeded our upper limit of projections, okay. It was something that was -- we'd not seen in 30 years. And then that was coupled with a shortage of equipment, which is what runs repair expense up and also causes us in the present year to be acquiring more trucks than we would on a normal adjusted basis. But I think you're absolutely -- equipment depreciation, if we can have a reasonable handle on how we bring the equipment in and how we take it out, should match up to revenues in a positive way over a three or five year cycle for sure. And I expect it kind of is, but there's this anomaly. The automakers and they're starting to fess up to this now, if you read press, they've been grossly subsidizing electric vehicle misadventures by jacking the people who buy internal combustion engines, whether it's consumers or fleets. And that's created a net loss for everybody. The automakers lost money because they couldn't sell the dam electric vehicles and make any money. And then we've paid arguably too much for fleet. But that now is starting to come back towards normalization. We're not quite there on -- if you look at it over a 10-year trend, but we're improving. And the feedback I get from the automakers is they're pretty much done with the charade of net zero. And it's going to allow them to write their vote. Most of these people are actually manufacturing behemoths. They are excellent at it, if you let them go. But they have -- whatever you want to say drunk the Kool-Aid and not done which is their forte. And I think they're focused on getting back to their forte and that will benefit us, although there'll be some little lumps and bumps getting there. But I think it's going to benefit us. I saw an article this morning where Mary Barra commented positively on tariffs. And of course, the article speculated whether she was trying to curry favor with the Trump administration or she actually believes this. But she may be correct. Okay, it's a very, these are complicated equations how this cost works through the economy, but costs that are just wasted. In other words, money spend to develop a vehicle that you can sell for $50, but cost you $100 that's just pure waste in the economy. And we've been the victim of that and I think that's coming to a halt. And as that comes to a halt, the statement that depreciation is a normal thing will be absolutely true. It should be a normal thing. And I don't see chagrin, but disappointed that we didn't properly see the extent to which this could go. In other words, our projection, the range of our projections did not encompass what actually happened on either decline in retail -- resale value or the amount that the automakers would attempt to make a stick on acquisition prices. But those are now coming back where they're more comprehensive. And normally they work well for the whole economy. So I expect this is going straighten itself out, give it a little bit of time, and I'm with you 100%. Again, on storage, depreciation is just a piggybank. It's not a cost. On trucks, it's real, but it should match to revenue.
Steven Ralston: Thank you very much for taking my questions.
Joe Shoen: Sure.
Operator: Your next question is from the line of Steven Ramsey from Thompson Research Group. Please ask your question.
Steven Ramsey: Hi. Good morning. Maybe to start with the U-Box growth. It jumped up meaningfully in the quarter and growing three times faster than Moving. What do you attribute that step up to? I saw the comment that Moving and Storage containers both increasing or were they increasing at similar levels on a year-over-year basis?
Jason Berg: Well, this is Jason. I'll start with that. The moving transactions, the U-Box moving transactions are growing at a faster rate than the U-Box containers that we're keeping in storage. Now both are in the plus 20% range. It's just that the moving transactions are at the higher end of that, the storage transactions are at the lower end of that. So with as many containers that we have acquired and warehouse space that we've built out, our big opportunity is to keep more of those containers in storage.
Steven Ramsey: Okay. And then the 17% growth, I mean, obviously, you can't pinpoint it too specifically, but is that the right sort of range to think about going forward or is it still something strong, but maybe more moderate than that?
Joe Shoen: This is Joe. I think my expectation is to stay in that range. The market is vast. We've done this largely without cannibalizing our existing customer base. So we've been able to get growth in both of those segments. I see that the U-Box has a higher growth rate than the truck share operation for many years to come. I just think that's the nature of it. Of course, it's smaller, but it's all the market is less explored also. And it's not a simple cannibalization of our other customer. So, yes, I think you can project to be a higher. And I certainly am banking on that.
Steven Ramsey: That's great to hear. I wanted to shift to real estate investments next year. Your storage pipeline is down a million or so from the prior quarter and the U-Box warehouse space grew meaningfully last year. Do you expect real estate CapEx to be at similar levels in FY'26 or do you expect it to moderate a bit? Just maybe your logic behind where you see it going?
Joe Shoen: I'll touch it and then I'll let Jason. He's the voice of reason here, which I think is the position you'd like him to play. I'm the voice of let's get there before somebody else does. So with U-Box, we've done a lot of just playing to get positioned in markets where we weren't positioned. And with the exception of a few major markets and I'll pick Los Angeles as an example. We're woefully under U-Boxed in Los Angeles, but that may end up being the situation for the next 20 years. So but we have added U-Box capacity throughout North America. And we're -- I don't think we're in the emergency construction basis, which I would if you would have asked me a year or two years ago, I'd say it's an emergency, we need more, more, more. Now we need to calmly exploit the asset that we've built because of course that's where that's the whole point of this. So as Jason said as we get more people into storage continue to grow the moving franchise of the U-Box product we'll be leveraging those assets and that should be positive leverage.
Steven Ramsey: Okay. That's great. And then last one for me, again, to stay on the real estate side of things. You brought a lot of storage capacity online recently that is self-storage. The maturity period, is it still moving at the historical clip on a going from day one to year one, two and three? And then secondly, you have a larger percentage of units in that early phase of ramp up right now, it seems. Can you talk about the impact that has on EBITDA and the timeline of transitioning from money losing to EBITDA positive as storage units mature?
Jason Berg: Steven, this is Jason. So the our rough estimate is usually approaching 70% occupancy, you're paying your bills. We're not having any issues on the lease-up of the portfolio through, say, the first three or four years. I would say that if there's any slowdown that we've seen, it's in the year going from year four to five, where you're going from the low 80s to getting into the low 90s. I would say that, that's maybe a couple of points -- percentage points slower than what we've seen before. And I'm excluding the COVID years, which were unusual. So and that would point to more of a management challenge versus a consumer challenge trying to get the facility filled up to the 90% plus. Otherwise, in the first three, four years, as we're monitoring these new facilities that come on, I'm not seeing any real weakness in how they're leasing up.
Steven Ramsey: Okay. That's great. Thank you for taking my questions.
Operator: Your next question is from the line of Andy Liu from Wolfe Research. Please ask your question.
Andy Liu: Hey, good morning, everyone, and I appreciate you taking the question and really excited to be on the call for the first time. So really to kick it off, you guys talked about a lot of the positives early on the call, right, on the topline and in the deck, you mentioned higher transaction, higher revenue per transaction, it was all great news. So the big topic today is the tariffs, right, and that kind of happened early April. So as you look at the business on a month-to-month basis on the customers' traffic, have you guys noticed anything any meaningful shift there perhaps folks that were thinking about moving and are saying like, hey, maybe I'll just stay put, given uncertainty or anything like that?
Joe Shoen: I'll answer this. You're going to get an opinion because there's not. If someone has a fact on that, I'd appreciate hearing it. But my opinion, my observation is that if we communicate strong value that the consumer is still positive. They're a little picky and where I have stores that are poorly managed, my business is down, that'd be my answer to you. I will never get every store managed with precision, but I can get the most of them there and that's my task. So, no, I'm not seeing this, and I've been very curious about this like you state, where tariffs going to make consumers uncertain and then they do nothing. If you ask my opinion, when people are uncertain, they don't move, okay, but we're seeing people move. So my answer would be I don't think there's uncertain as we might think.
Andy Liu: Okay. Got it. Again, no, that's totally fair. I know you must have been around for a very long time, you are super experienced here. So just wanted to kind of get your sense on you've seen things through the cycle before. So as you kind of look at where you are in sort of the cycle now sort of what is your kind of your outlook here and how things might play out on the housing and the moving side?
Joe Shoen: Yes. I think, again, moving is the need for the consumer. That continues. The question is, it used to be for much of my career was can we get them to do business with anybody? Are they going to move in the trunk of their car or the roof for their car or some damn thing, you see. They've always been moving. And of course you've watched investor moving. They're moving in wagons for god's sakes. So the question is what's the mode and can you -- they're going to move, the question is, can you get them into a commercial transaction that works good for both sides? Can they see it as a value? And can we squeeze a profit out? And that's we work at that not so much as can we stimulate moving demand. Can we get people to move more often? No, we have no plans, no intent, we don't care, don't accumulate any data on the subject. But can we get more of them to enter into a commercial transaction and, of course, specifically with U-Haul. And so that's kind of our task. But if people shut down and they have -- I've seen it where they've shut down and it immediately reflects the distance of move in our statistics. They move a shorter distance on average. That's a growth statistic, but it's a pretty good indicator when the distance they move declines that overall, there's a little bit of anxiousness in the consumer group.
Andy Liu: Okay. Got it. Got it. That's super helpful, super helpful. So moving on to kind of the storage side, I really appreciate you guys in putting out that slide here on sort of the revenue upside on the development pipeline. I think I remember a couple of quarters back, I kind of talked about these developments you could bring in sort of like 10% yield, 10% returns on these storage developments. On the real estate side, we kind of hear maybe tariffs or making input costs go up or immigration policy could potentially affect the labor side of the equation. So would you -- would that potentially impact some of the yields you guys kind of initially expected for the future pipeline, that 10%?
Jason Berg: Andy, this is Jason. I've spoken with our real estate folks on the development side. And two areas of concern for us would be what goes into the concrete mix and then the steel. And in talking with our largest steel suppliers we don't anticipate any significant increases in the cost of steel at least due to tariffs right now. And likewise we haven't seen anything manifest itself yet in the cost of concrete. So what we've actually been seeing excluding the threat of tariffs is the cost of construction have been gradually coming down for us.
Joe Shoen: That's a combination of us being a little bit smarter. And also I think that people are just a little bit hungrier and we can get people to sharpen their pencil. So that's it. It doesn't mean that actual costs have declined, but what we're paying is improving.
Andy Liu: Okay. Got it. That's fair. That's helpful. It's helpful. It's really great that you guys are able to control that costs there. So really kind of following on the storage side, a lot of times, you kind of looked at your company that has on an operating side and real estate side, sometimes they could be disconnecting the valuation of the real estate, right. So looking at your storage business, you guys own a pretty sizable footprint and then kind of look at the other storage names that we covered here or in the private market sort of the value of a self-storage facility or kind of like 200 bucks a foot is kind of what the market norm is. So kind of looking at where you guys are trading. Do you guys think there is a disconnect maybe in the -- in how folks are looking at the value on the storage portfolio?
Jason Berg: This is Jason. I guess to answer that is we've been trying to provide more details to help people value that. So that's an indication of we think that there's a disconnect. We think that there's more -- as people understand us more that we think the company is worth more than where it's trading at. We've been working with Wolfe and our other analysts in order to try to communicate that story. So as far as valuing the stock, everyone who's listening to this call is probably better at that. What we're trying to do is present more information that our investors are asking for in order to so that everyone can better value the stock for themselves.
Andy Liu: Yes, for sure, for sure. And I really appreciate you taking my questions today. Happy to be launching on the name and looking forward to working guys more. Appreciate it. Thank you.
Joe Shoen: You're welcome.
Operator: Your next question is from the line of Jamie Wilen from Wilen Management. Please go ahead.
James Wilen: Yes, as a follow-up to the previous question, it would seem like when one looks at the self-storage industry, whether they're public or private and looks at the growth of your self-storage as well as floating in U-Box there, which most of the other self-storage people do not have a similar component. The value of self-storage in U-Box exceeds the current stock price. So it seems like the truck rental business is being valued for less than zero. So one would hope other than just putting out information to additional Wall Street Analysts that the company can garner a plan for how to reduce that valuation gap since our self-storage is so undervalued relative to its peers in the market.
Joe Shoen: I think that's a great comment, Jamie. And of course, as you know, I've invested in this. And so optimizing that is in my selfish self-interest. And I welcome input on the subject and then trying to get there.
James Wilen: But would you all consider repurchasing shares at this tremendous discount to intrinsic value to close that valuation gap?
Joe Shoen: I'm torn on that. We did some repurchases, I don't know, what 10 or 12, 15 years ago. And the members of my family liked it because it felt like they were getting more wealthy or something, but it didn't get any more money to spend. So I don't know if it really get a lot, but and at the same time, Jason is keeping a pretty, he's playing his position and trying to make sure we keep ourselves very liquid and very flexible because of there is significant uncertainty in the financial markets. I'll say relative to five years ago maybe and so he's trying to keep me to keeping with a fair amount of liquidity. So it's not been proposed. There's no proposal in front of the Board or any particular board member that I recall is agitating for a share back. And I'm not agitating for one, but it's just -- if someone made the case, it's certainly we talked about it, but I just, no, I don't know, it may be smart. We did it before. I was not very much in favor of it, but I try not to just run this as a hypocrisy.
James Wilen: I would submit that the valuation gap today is much, much greater than the valuation gap when you were purchasing -- repurchasing shares a dozen years ago. So it's a different equation today.
Joe Shoen: Well, I appreciate you making that point.
James Wilen: Financially, the Property and Casualty business, operating profits declined in the quarter from $25 million to $10 million. Is there any particular reason that would happen?
Jason Berg: Jamie, this is Jason. And this is due to one of my least favored accounting rules on the face of the earth and that is valuing common stock that we hold in our investment portfolios to market and running that change through earnings. So we have a portfolio of common stock at the Property and Casualty company. Last year, during the fourth quarter, it went up in value compared to the beginning of the quarter and we had a large gain. This year, it happened to go down in value and then combined, I think that was something like a $10 million swing just from holding the common stock, not from anything actually happening.
James Wilen: Understood. As a shareholder, it intrigues me with the thought of potentially selling off our insurance businesses and using that liquidity to repurchase shares and close the valuation gap and be able to put forth more capital into the businesses that are growing in our core businesses. Any thoughts in that direction?
Joe Shoen: Yes, I think that's a valid consideration, and it's discussed. And but I don't want to tell you something that's going to happen because -- but the idea is clear. So I guess I'd leave it at that.
James Wilen: Okay. All right. Thanks fellas. Appreciate it.
Operator: Your last question is from the line of Stephen Farrell from Oppenheimer. Please go ahead.
Stephen Farrell: Good morning. I have a few questions about the fleet. What is the current age? And how does that compare to pre-pandemic level?
Joe Shoen: I don't have a calculation, we don't run that statistic. But if you look at unused mileage, in other words, let's take 130,000 trucks and how many miles do we have left in that fleet on a per truck basis than we did pre-COVID. Pre-COVID was our highest. We would have had the highest number of unused and therefore available miles in the fleet. We have steadily been increasing that, and this year, we'll increase it again. And we -- I was just thrilled prior to COVID because I thought we've got the company into a strong position there. And then COVID came and we had at first our own fear and then to acquire more capital trucks. And then the automakers inability or unwillingness to manufacture the trucks. So between the two of those factors, we declined rapidly, and you saw that in escalating repairs. That's our repair expense. Not a couple hundred million dollars in a short period of time. It was because the trucks, as on average, we're not necessarily older, but had more miles or unused less unused miles available. And all these trucks have different amounts of miles that they're good for. There's not a one index number, but so I think we're probably by the end of this build, which will go through, the one we're in now basic is going to go through next March. I think we're probably above 90% of what we had pre-COVID. But I don't have an absolute calculation. We look at that twice a year and try to a whole bunch of suppositions and try to comprehend what it is. And so I don't have a number in the front of my mind. But we're gaining ground, which is to me, the point gain the ground and you gain a little ground you'll get there. And there is no -- you can get too much have the fleet too new, and it just costs too much. So you want to kind of want to have the fleet. If I had my druthers, I'd have an equal percentage of every model in every year of production, but it never comes in that way. And so sometimes I have to buy 30% of a particular model's fleet in one year because that's just what's available and what can be done. But it kind of puts a lump in the snake as we digest that. You can just see it kind of just like seeing a rat go through a snake, it's just kind of a little lump that kind of works itself out. We're not as good as pre-COVID, but pre-COVID was the best. We're way ahead at different times I've run this company. I mean I'm proud of the fleet. I don't expect that if you randomly go into a place you're going to get some a rough truck. I'd expect you're going to get a good truck. There's been times in my career where I'd say you've got a 50-50 chance. You may get a rough truck. Well that's you're not going to experience that today. So that helps build our business because consumers somehow communicate about that. They know I can even tell by model when they think our truck leaves a little bit, not up to their expectations. So it is -- I think we're not seeing -- we're not -- that's not being a problem for us right now, if that makes sense. It's not a problem. But we're paying up for it. That's what you're seeing in this depreciation. We're paying up.
Stephen Farrell: Right. And that's -- I just wanted to follow up with that. You can correct me if I'm wrong, but when there were no supply constraints with the fleet rotation, I always kind of thought of maintenance expenses increasing as the depreciation is decreasing and the two, more or less balance out over the life of the vehicle. And is it now we have a significant increase in depreciation that's outpacing the decrease in maintenance expense. And is that just a new normal because there was a big lump of spend this year and last year and not much before that or do you think it will normally balance out?
Joe Shoen: I'm sorry, I do not want, I would not characterize it as the new normal. Again, I expect that automakers will continue to improve quality and maybe even pricing going ahead. They have room there if they can get themselves focused on it and get their costs allocated. So they're not constantly trying to subsidize another vehicle. So they're very good at this. They're very knowledgeable people. And in my conversations with them as of late, that is their focus. I couldn't have said that two years ago. So if they get focused on this, I think they'll do a good job and that will trickle through to us. And then we have to do, of course, a good job of what trucks we buy. We buy the right ones and the right amount. So and then there's always the issue that Jamie Wilen brought it or are you really making a profit or not because there's so many things on what we call a box truck and there was a truck that has a square U-Haul box on the back of it. You're not out of the woods for seven or eight years, that's just the truth. And that's always been the truth and it's not a scary thought to us. We deal with that all the time. But so you make a projection, an eight year projection, this is kind of a long projection, and we try to be real sober about that because we intend to be here seven or eight years from now in our positions and we don't want it to be reflecting poorly on this. So we're trying to do that to the very best of our ability. And we will become easier as the automakers focus back on their core competency because they're more predictable, things are predictable. And all this green business has just disrupted. Go to a car dealer and talk to the dealer. His tail of world will be frightening. He has a bunch of unsold inventory and a bunch of orders for trucks for vehicles he can't source. Well, that just means his supply chain has been disrupted, and we need to rationalize the supply chain, which I think is speedily being addressed and they will get it right because that is what they do well at.
Stephen Farrell: That's good. Thank you very much.
Operator: There are no further questions at this time. I'd like to turn the call back to the management team for closing comments. Sir, please go ahead.
Joe Shoen: Well, thank you, everyone, for your support. We look forward to speaking with you in August after we report our first quarter results. Thank you.
Operator: This concludes today's conference call. Thank you very much for your participation. You may now disconnect.